Operator: Greetings and welcome to the Newpark Resources' Fourth Quarter and Full Year 2015 Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Feldott, Director of Investor Relations. Thank you, Mr. Feldott. You may now begin.
Brian Feldott: Thank you, operator, and good morning everyone. We appreciate you joining us for the Newpark Resources conference call and Webcast to review our fourth quarter and full year 2015 results. With me today are Paul Howes, our President and Chief Executive Officer; Bruce Smith, President of our Fluids Systems business; and Gregg Piontek, our Chief Financial Officer. Following my remarks, Paul will provide a high level commentary on the fourth quarter and full year 2015, Bruce will provide an update on our Fluids business and Gregg will discuss the mats business as well as the consolidated financial results for the fourth quarter. Paul will then conclude with a discussion of our outlook before opening the call for Q&A. Before I turn over the call, I have a few housekeeping items to cover. There will be a replay of today's call and it will be available by Webcast on our Web-site at newpark.com. There will also be a recorded replay available by phone which will be available until February 26, 2016, and that information is included in yesterday's release. Please note that the information reported on this call speaks only as of today, February 12, 2016, and therefore you are advised that time-sensitive information may no longer be accurate as of the time of the replay. In addition, the comments made by management during this conference call may contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of Newpark's management. However, various risks, uncertainties and contingencies could cause our actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. And now with that said, I would like to turn the call over to our President and CEO, Mr. Paul Howes.
Paul Howes: Thank you, Brian, and good morning to everyone. While 2015 proved to be an extremely challenging year for Newpark and our entire industry, it's important that we don't lose sight of our accomplishments during this difficult time. To that point, I'd like to start by reflecting on 2015 and highlight some of the more significant accomplishments that will enhance our competitive position for the eventual market recovery. As the effect of the downturn set in about 12 months ago, we moved quickly to right-size the organization, particularly in North America. And while these actions are very difficult, they are necessary and unfortunate reality in our industry. Since the beginning of 2015, we reduced our North American work force by nearly 40%, but most of these reductions focused within the Fluids segment. Over the past year, we took swift actions to shore up our balance sheet. We aggressively managed our working capital by collecting receivables and driving inventory levels lower, which generated more than $120 million of operating cash flow in the year and ending the year with $107 million of cash on hand. The strong cash flow and strength of our balance sheet have allowed us to continue to execute on our long-term strategy despite the extremely challenging headwinds in the North American oil and gas market. We have substantially completed key investments in both segments, which provide expanded capabilities and capacity to support our growth well beyond the eventual market recovery. And as I've discussed previously, we have seen a change in the drilling fluids competitive landscape as customers continue to seek out our technical expertise and value added products while the large integrated service companies reduce their focus on drilling fluids. As a result, IOCs and NOCs are increasingly seeking out Newpark to participate in their projects. In order to successfully compete for these opportunities it's imperative that we make the capital and organizational investments required for Newpark to become the recognized global technical leader in drilling fluids. We've also made significant progress in diversifying our revenue stream over the past year. For those of you that have followed Newpark, you've heard us emphasize the importance of revenue diversification in both of our segments, and the current North American volatility provides further validation of that strategy. In 2015, we made significant strides in our international expansion effort despite a challenging global oil and gas market. Excluding the impact of the strengthening U.S. dollar, we achieved a 20% year-over-year revenue growth in our largest region, EMEA, with most of that coming through share gains from the larger oilfield service companies. Our international growth has benefited from a series of multiyear contract wins, which span across a number of customers and geographies. Since the beginning of 2015, we've announced four significant international contract wins, including the three-year contract with Sonatrach in Algeria, the three-year contract with ENI in the Republic of Congo which represented our first entry into West Africa, the award of an ultra-deepwater well with Total in offshore Uruguay, drilling on a project that will set a new record for water depth, and as highlighted in yesterday's press release, a new two-year contract with Shell Oil in Albania representing our first significant contract with this valued customer. Meanwhile, in the mats business, we made meaningful progress and strides in our efforts to expand beyond the well site. As we enter 2016, our mat rental fleet and manufacturing facility were both at maximum utilization levels, which limited our ability to expand it in new markets. However, with the dramatic drop-off in drilling activity in 2015, particularly in our Northeast region, we quickly found ourselves in a position of having an underutilized rental fleet and excess manufacturing capacity. Over the past few quarters, we moved quickly and made meaningful progress in our efforts to expand into new markets, and for the full year 2015 over 40% of our segment revenues came from customers outside of drilling markets. And for the fourth quarter, these customers accounted for more than 60% of total segment revenues. And finally, I'd like to highlight our Company's safety performance, which is of the utmost importance to our leadership team and the companies we serve. We achieved a new Company record in safety performance in 2015 with a total recordable incident rate of 0.42, which reflects world-class performance in our industry. I would like to commend all of our employees for this achievement. Now turning to the specifics of the fourth quarter, the market environment has become significantly more challenging, particularly in North America. With customers exhausting the 2015 budgets and the continued weakening of commodity prices, we experienced a sharp decline in activity in the back half of the fourth quarter, negatively impacting our Fluids Systems revenues and profitability in the quarter. Further, due to the extended weakness in the market, we recorded $83 million of pre-tax charges for goodwill and other asset impairments, along with severance associated with workforce reductions and the anticipated settlement of our outstanding wage and hour litigation. In the mats business, as I touched on a moment ago, we made meaningful progress in our efforts to penetrate markets beyond the well site, most notably the North American utilities infrastructure market. During the fourth quarter, mat revenues and margins rebounded, largely benefiting from stronger mat sales into the utility sector. In addition, we are also gaining traction in the utility market on the rental side of the business, which has helped to offset the continued declines in E&P activity. As we continue to make progress in our plans to penetrate markets outside the oilfield, we are increasingly confident that our DURA-BASE system will provide significant value to customers in these markets. With that, let me now turn the call over to Bruce Smith who will review the performance of our fluids business. Bruce?
Bruce Smith: Thank you, Paul, and good morning. In the fourth quarter, the Fluids Systems segment generated total revenues of $130 million, reflecting a 6% decrease from the third quarter and a 50% decrease year-over-year. In the U.S., revenues were again impacted by the solid decline in rig count. U.S. revenues were $61 million, down 7% sequentially, which compares favorably to the 13% rig count decline over this period. Consistent with the industry rig counts, we experienced a softening across most of our regions within the U.S. The modest performance versus the broader rig count is largely attributable to higher downhole fluid losses while drilling, which tends to benefit revenues but provides minimal bottom line impact. On a year-over-year basis, U.S. revenues were down 65% compared to the 61% reduction in rig count. In Canada, revenues came in at $12 million, down 24% from the exceptionally strong third quarter results, reflecting the impact of the year-end slowdown. On a year-over-year basis, revenues were down 55%, slightly better than the 59% rig count decline. Our EMEA region posted revenues of $46 million, up 10% sequentially. Substantially, all of the increase is attributable to completion product sales into the Republic of Congo supporting the recently signed multiyear contract. On a year-over-year basis, revenues from the EMEA region were up 10%, despite an $8 million headwind from currency translation. Adjusting for currency, the region's revenues increased 30% over last year's fourth quarter, largely driven by revenue gains from new contracts. Our Latin America region posted revenues of $8 million in the fourth quarter, down 32% sequentially, primarily driven by significant reductions in Petrobras spending. On a year-over-year basis, Latin America revenues were down nearly $7 million or 46%, with more than $4 million of the decline driven by the stronger U.S. dollar. In the Asia-Pacific region, fourth quarter revenues were $3 million, down 16%, as customer activity levels continue to soften in the weak commodity price environment. On a year-over-year basis, the Asia-Pacific region declined 45%. On the technology front, revenues from our family of Evolution systems have remained soft, coming in at $23 million in the fourth quarter, including $20 million in North America. As discussed previously, we expect the market for value-added technology to remain soft until we see some improvement in the commodity prices. As highlighted in yesterday's press release, the fourth quarter included charges for the impairment of goodwill and other assets, as well as employee separation costs as we continue to right-size our workforce. Excluding these charges, the segment reported a $6 million adjusted operating loss in the fourth quarter, reflecting the lower revenues as well as a weaker sales mix. Also, our EMEA region results in the fourth quarter included approximately $1 million of startup costs related to our operations in the Republic of Congo. While the North America region has been the hardest hit in the current market environment, Latin America and Asia-Pacific both reported small operating losses in the fourth quarter of 2015. Turning to our near-term outlook, we expect the continued weakening in the commodity prices to have further negative impact on our revenue in the near-term. North America remains the most uncertain market with rig counts already standing 13% below fourth quarter levels. The North American market remains extremely challenging to navigate as many operators are reducing the drilling activity until they see a meaningful rebound in commodity prices, while those that are drilling continue to put pressure on pricing. Similar to North America, customer activity in Asia-Pacific remains very weak, while in Brazil, Petrobras continues to reduce rig activity and shift the focus to production. However, we expect the Latin America region should benefit from the ultra-deepwater project in Uruguay, which is scheduled to begin late in the first quarter. In our EMEA region, we expect revenues to be softer in the first quarter, driven by the nonrecurring nature of the completion product sales into the Republic of Congo as well as the wind-down of the deepwater Black Sea project. In addition, I should note that we are starting to see a more pronounced impact of the commodity price weakness on our larger IOC customers in the EMEA region. While our NOC and larger IOC customers have remained more resilient to the market weakness up to this point, we are getting indications from these customers that if current commodity prices hold, they could start slowing down their activity as they progress through the year. In terms of operating loss, we expect the first quarter to be modestly softer to normalized Q4 results, with the benefit of the Uruguay project and seasonal strength in Canada to somewhat offset the weakness in U.S. And finally, I'd like to take a moment to comment on our latest contract award. As Paul touched on and as included in yesterday's press release, we have recently been awarded a two-year contract by Shell to provide drilling fluids and related services for onshore drilling activity in Albania. Work under this contract is expected to begin in the second half of 2016. The award of this contract was the result of a lengthy and detailed process and we are very pleased to be awarded this technically demanding project. This contract award is very important for Newpark and we look forward to building a global relationship with this very strategic customer. With that, I'll now turn the call over to our CFO, Gregg Piontek.
Gregg Piontek: Thanks you, Bruce, and good morning everyone. I'll begin by discussing our mats business before finishing with our consolidated results. The mats business reported fourth quarter revenues of $20 million, up 33% from the third quarter, but down 55% year-over-year. Sequentially, the $5 million revenue increase is largely attributable to higher mat sales which came in at $8 million for the quarter, while rental and service revenues remained relatively flat at $12 million. Despite the continued weakening of the E&P markets, the stronger revenue contribution was driven by our efforts to expand into new markets. To that point, customers in non-exploration markets accounted for substantially all of our mat sales in the fourth quarter and nearly half of our rental and service revenues. And while we are encouraged by the recent revenue growth in these markets, it's important to highlight that we are still in the early stages, resulting in an increased level of quarter to quarter revenue variability impacted by the timing of customer projects and to a lesser extent seasonal softness in some of the northern markets during the winter months. Comparing to prior year, the $25 million decline in revenues included a $20 million decrease in rental and services along with a $5 million decline in mat sales. Benefiting from the sequential increase in revenues, the fourth quarter segment operating margin came in at 14%, up from a small loss last quarter but well below the 51% operating margin a year ago. Looking ahead to the first quarter, we expect E&P customer activity will continue to soften, which should be partially offset by a stronger revenue contribution from the non-oilfield markets. While mat sales timing is always difficult to predict, we currently expect mat sales revenues to be a little softer, while rental and service revenues modestly strengthened with improvements coming from both North America and Europe. Overall, we expect both segment revenues and operating margins to be modestly softer than the fourth quarter levels. Now moving on to our consolidated results; for the fourth quarter of 2015, we reported total revenues of $151 million, down 2% sequentially and 51% year-over-year. SG&A costs were $25.2 million, down 2% sequentially and 17% year-over-year. Declines in incentive compensation are the largest driver to both the sequential and year-over-year declines. Corporate office expenses were $13.6 million in the fourth quarter, which includes $5.8 million of charges associated with workforce reductions and a provision for the anticipated resolution of pending wage and hour litigation and related expenses as described in yesterday's press release. Excluding these costs, corporate expenses were relatively flat with the prior quarter. Consolidated operating loss was $94.3 million in the fourth quarter, which includes the $83.5 million of charges outlined in the non-GAAP earnings reconciliation in yesterday's press release. Excluding these charges, the fourth quarter adjusted operating loss was $11 million. We reported an operating loss of $9.3 million in the third quarter and operating income of $38.6 million in the fourth quarter of last year. Foreign currency exchange netted to a $400,000 gain in the fourth quarter, compared to a $3.2 million loss in the third quarter and a $600,000 loss in the fourth quarter of last year. As we highlighted last quarter, the third quarter loss largely reflected the revaluation of balances due from our Brazilian subsidiary, which were substantially eliminated in September. The fourth quarter tax provision reflected a benefit of $13.3 million. The unusually low effective tax rate is largely attributable to the impairment of non-deductible goodwill. In addition, the fourth quarter tax provision includes a $1.6 million charge resulting from our decision to carry back the 2015 U.S. tax losses to prior periods. The charge reflects the impact of tax deductions previously taken, which will now be eliminated by the tax refund request. As illustrated in the non-GAAP earnings reconciliation in yesterday's press release, our adjusted fourth quarter tax provision reflected a benefit of $3.5 million, reflecting an effective tax rate of roughly 27%. Net loss for the fourth quarter was $83.1 million or $1 per share, compared to a loss of $0.05 per share in the previous quarter and net income of $0.25 per diluted share in the fourth quarter of last year. As noted in the non-GAAP earnings reconciliation in yesterday's press release, the fourth quarter adjustments accounted for $0.89 of the fourth quarter loss. Now let me discuss our balance sheet and liquidity position. During the fourth quarter, operating activities provided net cash of $14 million, including $10 million from reductions in inventory. We used $18 million to fund capital expenditures, including $15 million spent on facility and expansion projects that we've outlined previously, while maintenance capital requirements have been minimal. As of the end of the year, borrowings under our foreign lines of credit were $7 million, in addition to our $172 million of convertible bonds that mature in Q4 of 2017.We ended the fourth quarter with cash of $107 million and a total debt balance of $179 million, resulting in a total debt to capitalization ratio of 25.6% and a net debt to capitalization ratio of 12.1%. For the full year 2015, our capital expenditures totaled $69 million, including $41 million in the fluids business and $27 million in the mats business. The majority of our spending focused on our facility projects, including $16 million for our fluids manufacturing plant and distribution center, $13 million for our mats manufacturing facility and R&D center and $10 million related to our Fourchon deepwater shore base. Maintenance capital requirements have remained relatively low, accounting for less than $15 million of our 2015 capital spend. With the majority of the facility investments now behind us, we expect to see capital expenditure requirements decline in 2016. We currently expect 2016 expenditures to be in the $30 million to $45 million range, including $15 million to $20 million required to complete the deepwater shore base project. Beyond the deepwater investment, much of our capital expenditures will be contingent upon revenue growth. To that point, should the market weakness continue through 2016, we would expect capital investments to be at the low end of our range. As we discussed in previous quarters, until we see a rebound in revenues, we expect to continue generating cash through working capital reductions, most notably from inventories. In addition, as a result of our decision to carry back our 2015 U.S. net tax losses, we expect to receive roughly $29 million of additional cash in 2016 through the recovery of income taxes paid in previous years. Now, I would like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thanks Gregg. 2015 was a challenging year but we met it head on and moved quickly to respond to the rapidly declining North American market. We saw our international business grow in key markets, from Algeria, to Kuwait, to the Congo. We also continued to execute on our long-term strategy by investing nearly $70 million, which includes key capital projects that will position Newpark to emerge a stronger company from the current cycle. In addition, we focused on strengthening our balance sheet by aggressively managing working capital, while continuing to execute on our long-term strategy. Fortunately, we have minimal short-term debt and over $100 million of cash on hand, and with the majority of our strategic capital projects behind us, we expect to see significantly lower capital spending in 2016. As we move through 2016, we will aggressively manage operating expenses to address further market declines as they occur. We are hopeful that we will see a rebound in commodity prices by year-end, but given the significant decline in rig count so far this year, we are preparing for more aggressive cost reductions. We will continue our efforts to penetrate new markets and diversify our revenue streams. We have long been focused on diversifying our fluids business beyond U.S. land, which includes continued international expansion and a meaningful penetration into the Deepwater Gulf of Mexico. And while our ability to expand the mats business beyond the rig site was historically limited by supply constraints, with a sharp decline in U.S. oilfield over the past few quarters, we are moving quickly to deploy our available mats into new markets and diversify the revenue stream. Despite the extremely difficult market conditions, this remains an exciting time for Newpark. In fluids, the changes in the global competitive landscape continue to provide additional opportunities, particularly in the international drilling fluids market and the Deepwater Gulf of Mexico. The contract award from Shell Oil serves as yet another validation of our strategy, allowing us to demonstrate our product and service capabilities for this important E&P account. With each new contract, we are making progress towards our goal of becoming the recognized global leader in technical innovation and service quality in drilling fluids. In the mats business, while we are still early in our efforts to diversifying into markets that are less dependent on drilling activity, we are beginning to see the value from these new markets. While it takes some time for our penetration in these new markets to take hold, we remain very confident in our ability to capture a meaningful share of these markets longer-term, which will ultimately lead to greater diversification in the revenue stream and improve stability of earnings through the commodity cycles. So in closing, we expect 2016 to be a very challenging year, but we remain confident that we will emerge from the current cycle a stronger company. I would like to thank each and every employee of Newpark for their dedication to serving our customers and working safely. With that, now let's take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Praveen Narra with Raymond James. Please proceed with your question.
Praveen Narra: So thinking about the margin degradation we saw in the Fluids division, I guess the decrementals were a little bit higher than we've seen in the prior quarters certainly. It sounds like 1Q may still be a little bit weaker or on the weak side. How do you think about the levers that you guys can pull to bring that back down and get margins a little bit better or at least keep them steady, and where do you think those kind of shakeout for 2016 in the environment?
Gregg Piontek: Sure, Praveen. It's Gregg. I'll start with a little color on Q4. Bruce had touched on a couple of the items that really impacted the quarter and caused the higher decremental margins in the period. Most notably, there was the activity in Congo we had, not only the fact that the product sales into there were more low-margin commodity products, but then we had about $1 million of startup costs. In addition, on the U.S. side, you had a weaker mix, more fluid losses, which again that's your low-end commodity product that you tend to lose downhole, as well as some pricing pressure particularly on the diesel-based fluids, and that's really what helped contribute to one of the impairments that we took at year-end to write that inventory down. In addition to that, we had some costs in the period that are really more nonrecurring related to the startup of our new manufacturing facility and the relocation and some inventory impairments, year-end reserve adjustments, et cetera. So you boil all those things together, it brings you back to that typical decremental margin that we've seen historically of that 25% to 30% range.
Operator: Our next question is from the line of Jim Wicklund with Credit Suisse Group. Please proceed with your question.
Unidentified Analyst: This is [Jake] [ph] on for Jim. Just first a question on the mats, so you had highlighted the opportunity in utility sector on the last call, and it sounded like you thought there was an opportunity more for kind of back half of 2016. I guess this one that you've gotten in the fourth quarter, was that a project that you had in mind when you were making those comments in the 3Q call or is this something new that came up during the quarter?
Paul Howes: I would say it was in kind of our field-of-view. We've been working accounts very hard and this one we were able to pull forward a little bit. The customer saw the value in our matting technology and felt that they were ready to move forward. So it's one that we saw but we were able to accelerate.
Gregg Piontek: And going back to our previous commentary on that, we see a lot of opportunities for our matting technologies in these segments, but when you're breaking into a new market, the big question is the timing, how long does it take to ramp that up, and that's always difficult to predict.
Unidentified Analyst: Okay, understood. And then I guess could you kind of frame the maybe medium-term opportunity in these sorts of wins, maybe relative to – it looks like it was about a $5 million contribution in this quarter. I guess is that the sort of size that we should be thinking for opportunities further out or would they grow bigger? And then I guess how, if you're able to put sort of any quantitative or qualitative metrics around how this win compares to some of the stuff that you are looking out there for 2016 and 2017?
Paul Howes: Yes, I really can't put any quantifiable numbers or qualifying the recent sales in mats into the utility sector. I guess what I would say is that, if you look at the utility sector, in infrastructure, power transmission, pipeline, and the use of mats in those segments, and historically we used a lot of wood mats, that segment we believe is significantly larger than the oil and gas space that we've been competing in for the last five to seven years.
Unidentified Analyst: Okay, great. And if I could, on the Albania onshore contract with Shell, what is your expected revenue contribution from that? Quarterly run rate or total duration would be great.
Bruce Smith: It's an interesting contract. Of course, Shell is a major player in almost every area in which we compete. So to be awarded our first contract, major contract, with Shell is very strategic for us. It's a little early at the moment to identify any revenues but we'll get more insight into that as things progress.
Unidentified Analyst: Okay, great. And if I could sneak one in more, what were the revenue contributions from Petrobras in the quarter? Just trying to get a sense for what's the potential downside risk in 2016 from that business.
Gregg Piontek: So our revenues in the Latin America region were roughly $8 million in the fourth quarter, and that's substantially all Petrobras, very little other activity going on at the moment.
Unidentified Analyst: Okay, got it. Thanks guys.
Operator: Our next question is from the line of Marc Bianchi with Cowen and Company. Please go ahead with your question.
Marc Bianchi: Just first off on the fluids business, can you quantify how much of revenue was associated with the downhole fluid loss that occurred?
Gregg Piontek: When you look at the performance of the U.S. fluids, we noted it was down 7% versus the rig count down 13%. That gap that you have there is pretty much, it's predominantly the downhole losses.
Marc Bianchi: Okay, great. And then, Gregg, the 25% to 30% decrementals that you talked about excluded the impact of – would it exclude the impact of price reductions?
Gregg Piontek: That's correct.
Marc Bianchi: Okay.
Gregg Piontek: Yes, the pricing degradation is part of what drove such a strong decremental margin.
Marc Bianchi: Right. Maybe if you guys could offer some comments, I'm sure you've noticed that the news is starting to report that potentially the Baker fluids division is going to be up for sale, and I'm not asking you to comment on whether you'd be a buyer or anything, but just how is your business maybe similar or different to that, where do you overlap, would it be more of a threat or an opportunity if it ended up in somebody else's hands, just curious to hear your thoughts.
Paul Howes: Sure. Certainly Bloomberg released that. We're waiting to see when and if Halliburton announces any potential sale of the Baker assets offshore. From our perspective, obviously we see ourselves as a viable competitor in that space, Deepwater Gulf of Mexico, Brazil, other places. So again, we see it as an opportunity if in fact Halliburton moves in that direction. Whether or not it's a competitive threat if it goes to someone else, again I think any time there is changes in the industry it creates confusion. We've been there in the deepwater market playing and making more investments in the Gulf of Mexico. I would see that modestly, even if it went to another player, as benefiting us.
Marc Bianchi: Have you seen any change in the competitive behavior from that business since the merger was announced?
Paul Howes: Certainly I think you see more confusion is how I would say and we're seeing that both domestically and in the international market.
Marc Bianchi: Okay, thanks for that. Maybe just one more quick one on working capital release, if I have a starting point for 2016 of the U.S. rig count falling by 40% on average, average to average, what sort of working capital release should we be expecting in that scenario?
Gregg Piontek: So the working capital, I'll frame it up this way, first of all on the inventory side, you look at the back half of 2015 and we've taken out close to $20 million in inventories. We probably have at least that much to go, probably another $20 million to $30 million available to us. In addition, on the receivable side, we run 80-90 days of receivables. So every time you take a [leg] [ph] down on the revenue side, you see that come through on the receivables reduction, which provides additional working capital reductions. And then the other big issue is, as we had noted, on the tax loss carry-backs. So that's another close to $30 million of cash to generate from the balance sheet.
Marc Bianchi: And when would you expect to get that?
Gregg Piontek: We would expect that to be in the first half of the year.
Marc Bianchi: Got it. Okay, thanks. I'll turn it back.
Operator: Our next question comes from the line of Neal Dingmann with SunTrust Robinson. Please go ahead with your question.
Neal Dingmann: Paul, obviously you and Bruce have done great job on these international, continue to catch these contracts. Is there something that, I'm just kind of wondering what the strategy or what you guys are doing in, if this trend as far as these number of contracts can continue in the second part of that, does that include some of the Evolution there, or I guess just what you can say about your thought about future international projects with the fluids?
Bruce Smith: I guess I can catch it in the following terms that because of the confusion in our space with the Halliburton and Baker deal that's been talked about previously, we are finding more and more that the bigger customers, the IOCs and the NOCs, are coming to us more and more asking for our services in different parts of the world. So we'll certainly be using that lever to advance the company geographically internationally as we go forward.
Paul Howes: And whether or not we'll be able to continue the string of new contract awards that we had in the past is yet to be determined, but generally speaking there is kind of a wind at our back in that international market because of the confusion of the Halliburton-Baker merger, and again, we are trying to exploit that to our advantage as much as possible.
Neal Dingmann: And just remind me guys, margin-wise, is it pretty similar on international versus some of your prior U.S., how should we think about the margins internationally versus U.S. typically?
Paul Howes: Typically the margins internationally are a little bit stronger for a few different reasons. First of all, the competitive landscape is little different. You don't have the same level of regional localized competitors as what you have in North America. And also because of the fact that these tend to be longer-term more stable contracts, it's a lot easier to manage your cost side more efficiently than it is in the North American. So those are really the two drivers to it.
Neal Dingmann: Very good. Thanks guys.
Operator: There are no additional questions at this time. I will now turn the floor back to management for any additional comments.
Paul Howes: We'd like to thank you once again for joining us on the call and for your interest in Newpark Resources. We look forward to talking to you again next quarter. Goodbye everyone.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's teleconference. You may disconnect your lines and have a wonderful day.